Operator: Ladies and gentlemen, thank you for standing by. I am Gaily, your Chorus Call Operator. Welcome and thank you for joining the TAV Airports Investor Day live webcast to present and discuss the 2024 full year financial results. At this time, I would like to turn the conference over to Mr. Serkan Kaptan, CEO, and Ms. Burcu Geris, Deputy CEO and CFO. Mr. Kaptan, you may now proceed.
Serkan Kaptan: Hi, thank you for the introduction. So let me start with the review of year 2024. It was a very good year for us both operationally and financially. In total, we managed to receive 107 million passengers, which is 11% above our last year, above 2023 passenger number. The good part is that we had a 13% increase on the international part of the passenger. So we reached up to 71 million passengers at year 2024. Of course, several factors contribute to this success. Major fleet expansion of some airlines, the strong travel demand also, the expansion of the global middle class. In all our airports, we had an exceptional growth. As you know, we are in emerging markets, not only in Turkiye, but the other markets. We had a huge demand, mostly double digit increase on all our airports. In terms of our financial performance, both our revenue and EBITDA grow by 27%. Our revenue reached to EUR1.660 billion. Our EBITDA reached to EUR489 million. Our net income reached also to EUR183 million. Our net debt-to-EBITDA improved to 3.5 multiple. So in terms of our strategic investments, we were in a three-year investment period. The three A's, which we call as Almaty Airport, Ankara Airport, and Antalya Airport, most of these investments are completed. Almaty is fully completed. We took into operation the new asset as of June last year. For Antalya, we are expecting the completion of the investment by early April, and same for Ankara Airport. So in total, we had an investment program which is exceeding EUR2.5 billion, including the upfront lease payments of the Turkish assets. In terms of the outlook for 2025, we expect to have 110 million to 120 million passenger range for the total of our airports. We anticipate to achieve an EBITDA of EUR520 million to EUR590 million, and hope that we will reach our all-time high EBITDA of EUR573 million, which was in 2018 while we were managing Istanbul Ataturk Airport. We hope that we will reach it. We will also expect to continue deleveraging, and we are targeting a net debt-to-EBITDA ratio of 2.5% to 3%, three times the ratio. Looking ahead, this year marks our 25th year of operation, starting with Istanbul Ataturk Airport. We are excited for the new opportunities coming up. In the next 20 years, we see that the passenger traffic in the world will double to 20 billion passengers. End of 2024, the global passenger traffic ended with 9.5 billion. So doubling all the traffic in the next 20 years means that there will be a lot of infrastructure need for the airports to accommodate this growth. We believe that with our experience, with our financial positioning, and the visionary shareholders, we believe that we'll play a great role in the coming 20, 25 years of aviation. So of course, we also remain committed to top signature service excellence in every aspect of passenger experience across all airports, including ground handling, duty-free food and beverage, hospitality services and the technology services. With this, I extend my deepest gratitude to our employees, shareholders, investors and business partners for their support in building TAV Airports into a globally respected brand. So I will talk a bit about the traffic performance. When you look at TAV's performance, as I said earlier, the total number of passengers in 2024 was 11% above 2023 figures. In terms of international passengers, we were 13% above 2023. Our major drivers like Antalya, in Antalya, we had 7% growth over 2023. In Ankara, the international traffic was 14% above 2023, mainly because of AJet, which has its base in Ankara. It's a subsidiary of Turkish Airlines. Also, in Izmir, we have an international continuing growth of 16%. In 2023, we also grow double digit. This is also related to SunExpress and Pegasus growing in Izmir. In Almaty, the international traffic grow by 24%. Almaty is our new jewel at the center of Central Asia. With the new investment, we believe that in 2025, we'll have better results and better figures related to Almaty. Of course, geopolitics had an effect on our international traffic. Since September, we had a minus 3% effect. But seeing that the conflict is resolved between Israel and the Gaza Strip, we hope that the traffic coming from Israel will be back, and hoping that this Russian-Ukrainian conflict will be over soon, and it will be a surplus on top of our current expectation. So if I talk a bit about our source market, the German market is very strong, especially in Turkiye. Russian market is also strong. German market and UK market are the rising stars for the Turkish market. When we look at the destinations of the TAV airports in total, again, Germany takes the pole position. Then comes Russia and UK. When we look at Turkish airports, very similar. Germany with 27%, in TAV managed Turkish airports, the five airports that we have. And Russia comes with 19%, and UK follows by 11%. So I now hand over to Burcu for the financial results.
Burcu Geris: Thank you, Serkan. Good afternoon, everyone, and welcome. So just to go over our figures, as Serkan mentioned, it was a successful year for us, with very substantial growth in our revenue. We surpassed our guidance by far, 27% growth year-on-year in euro terms in revenue. We reached EUR1.66 billion. Unfortunately, our OpEx, cash OpEx, also increased 27%, which, as you know, we always try to keep under control. But due to hyperinflation situation in Turkey and the minimum wage increases, it was a bit that we couldn't run away from such increases in some of the OpEx. As you know, almost 40%, 45% of our OpEx is staff costs and linked to minimum wage increases. And when euro TL stays relatively stable, these inflationary pressures played a role in our cash OpEx. Having said that, going forward, we expect these inflationary pressures to reduce as inflation comes down in Turkey. So hopefully the worst is behind us, and we won't see this much effect in the upcoming years, including '25 and '26. The pressure should be less. Nevertheless, our EBITDA still, we were able to increase it by 27% to a record, not all-time record yet, but still so far an increase, a EUR100 million increase to EUR489 million. This was a very good achievement, as I said, despite these pressures. And our EBITDA margin, we were able to keep almost stable, even, 0.1 percentage point increase, despite the pressures. So we were at 29.5% on the margin. As you know, also we are not a pure play company of airport concessions only. We have fuel sales. We have service businesses. So just to keep in mind that our EBITDA margin is not by itself a measure of success or in-success, but it is just a natural result of this breakdown to different types of revenues. But it's more important, I think, to focus on the growth, the 27% growth year-on-year on the euro-based EBITDA, which, as I said, we added another EUR100 million, even EUR105 million to our previous year's EBITDA. When we move to the net income, again, these numbers can be a bit misleading because it looks like as if there's a drop from EUR249 million to EUR183 million in terms of net income. It does look like a drop, but it is because we had so many one-offs in 2023, including an asset sales in TIBAH. We sold some shares in TIBAH in Medina, as you will remember. And this has brought us EUR83 million gain, one-off gain, for the year 2023. There was some inflation accounting, deferred taxing impacts. So all-in-all, if we add all these positive one-offs for 2023, we come up with EUR177 million. We added up for your benefit on page 7 of the webcast presentation. You can have a look there. So if you deduct that, you will see that the ordinary course of income for 2023 was, in fact, only EUR74 million, not EUR249 million. So from EUR74 million to EUR183 million, it's 147% growth in the ordinary course of business income. So I think we can conclude that this is a very good result in terms of net income, ordinary course of business net income increase, not taking into account the one-offs of last year. In terms of CapEx, we were in line with our guidance, even a bit below our guidance, which is good. This was caused by some lags into this year due to the solar power and BTA, Antalya CapEx being a bit less, and this will realize in '25 instead of '24. This is okay. I'm happy to report that our free cash flow is now EUR154 million positive, which is a good number despite all this heavy CapEx and interest payments and everything. We had this free cash flow, and we expect this free cash flow to be even better in '25 and '26. Our net debt was quite stable. Again, despite all this additional CapEx and investment, we were able to keep it stable at 1.7 billion number of passengers. Serkan also gave a lot of details, so I won't go over, but we had a good year with 11% increase, 106.5 million, and especially on the international, 13% increase, where we reached 71.2 million international passengers. And our duty-free per pax was, again, almost flat, around EUR9. We expect, when Antalya opens, Antalya is not consolidated, as you will remember, but we expect the duty-free revenues and spend per pax to increase substantially for Antalya when we have the new retail area. When we open the terminal in April, we will triple the retail area compared to current terminal, and we expect a real spend per pax increase in duty-free and other commercial income as well. So moving on to some quarterly and annual results and comparison to last year, on page 8, you can see some graphs where we compare both quarterly and full year results. As I mentioned, the revenue growth was substantial. For the full year, it's 27%, and for quarter, it was a whopping 31%. Having said that, as I, again, mentioned, the OpEx was also under pressure, so we ended up with 27% EBITDA increase. Now maybe we can talk a bit about the revenue composition, and this will be on page 9. Currently, we have this 40% aviation, 60% non-aviation breakdown. This is moving towards, as we grow our non-aviation income, especially, Almaty opened up last year. We have the half-year impact, but we will have the full-year impact. So as our commercial revenues and non-aviation revenues become higher, this breakdown is moving towards a more 50-50 in the future, but even where we are at 60-40, it's a good one. On the revenue side, you will see also, I didn't mention when we were talking about the summary, but we had some one-off. You will see that the lounge business grew a lot. So, when you see the lounge business, the revenue is growing, almost doubling from EUR87 million to EUR157 million. We explained the reason as consolidating the Paris lounge network fully, because we acquired it, and we used to do equity pickup. Now we have the full lounges. So it kind of helped us double this business. This is a very -- I mean, in terms of profit, the margin is not so high. So, it is not an airport concession business like 40%, 45%, 50%. It is more 15% type of business, but it is a growing business and it's a promising business. And now it grew to be a EUR200 million business almost, and bringing EUR30 million EBITDA for next year's plan. Moving on, maybe we can talk also a bit about the debt structure, because we get a lot of questions on that. I can turn to page 16 of your presentations where we have the debt. So I don't know if we have our rating agencies online as well, but we put ourselves a very strict deadline to refinance our upcoming Antalya Bridge. Normally, our Antalya Bridge maturity is end of September this year, but we put ourselves a target, internal target to refinance as much earlier by the end of Q1. It's going very well. So, we're talking about the EUR2.5 million, EUR2.6 billion financing. This is one of the biggest refinances in Turkey right now, and we are happy to report that we are achieving very good terms and conditions. The Credit Committee approvals are almost totally in place, and we are on track to do this. As you may remember from the past announcements, we had already done the same for Ankara Bridge refinancing to long-term. This is at a smaller scale, because that was a EUR300 million refinancing, but we achieved almost 175 basis margin improvement. This one also, we look to achieve 200 basis points improvement in margin going into the long term. So all-in-all, I think we're in a good place regarding our debt. Our debt maturity and the door-to-door maturity is 7.7 years. Average maturity is 5 years, and our average cost of debt is around 6.6%. A very important metric for us, as you know, is net debt-to-EBITDA, and we have given a guidance, a long-term guidance in the year 2022, to reduce it from its record levels, to reduce it two or three times. And we are very much on track with this, and even we are above the track, let's say ahead of the track, because we have given a 3.5, 4.5, and we are at already 3.5. So, everything looks to be on track. The cash generation is there. The debt renewals with better terms and conditions are there. The CapEx is almost completed. We will go over the investment program in detail, including Almaty, but it is on very much track, and it is now being recycled into free cash flow generation, as we can see in the results. One, maybe last page we can go over before I hand over to Serkan, is on page 17. As I mentioned, our cash CapEx was EUR256 million, which is in line with the guidance. And regarding dividends, I know some of you may also wonder about dividends. We have also given kind of a guidance, not a formal, official guidance, but we have kind of guided the community that we wouldn't be distributing dividends during this CapEx scheme, where we were heavily indebted and the debt was super expensive, so we didn't want to incur more debt to pay dividends. However, as we are saying, we are hopefully coming to the end of this period, and the Board and the General Assembly will reassess the dividend policy on when to restart the dividends. This year, since we continued, I mean, in 2024, since it continued, the Board advised the General Assembly not to distribute any dividends. So handing over to Serkan to talk about our investment.
Serkan Kaptan: Thank you. Thank you, Burcu. So, starting with Ankara, 98% of the construction is completed by end of last year. So, it's in total of EUR210 million of lumpsum EPC contract to be invested for the project. Within this project, we also implement some solar plant for green energy. Between 2024 and 2025, the significant difference will be the new concession startup. In mid-May, we'll be having the second period of Antalya with a differentiation of revenue sources, because we'll not have any cap on our international passenger fees to be collected. Moreover, we'll have an increase in our passenger fees, the service charges that are to be collected from the passengers. That's why we expect to have an IFRS revenue of around EUR100 million this year in Ankara. So of course, the enhancement about customer experience, retail areas, food and beverage, and duty-free will be renewed by the time, and this will further boost the revenues in Ankara. We will have, AJet and Pegasus are the main airlines as the driving force behind Ankara for the international traffic. We had an exceptional growth for the last four years in operation in terms of international growth. Back in 2019, we were close to 2.3 million passengers. Last year, we closed here with 3.3 million passengers. So it's like 42% growth despite the pandemic period. We see that this strong demand and growth will continue in Ankara in terms of international development. In Almaty, as we have stated earlier, as of 1st of June last year, we started operating the new terminal. Still, we have in the enhancement period of the commercial assets inside the airport. We are renewing the previous terminal as a domestic terminal, so all commercial facilities are being renewed. We will have a half-year result in 2025. In 2026, you will see the full-year result of all these enhancements. For Kazakhstan, we could say that the demography in Kazakhstan is very favorable because almost 60% of the whole population is below age 35. There is a growing middle class. Almaty, the city that we operate, is the most populated city in the region, and it was a historical center for trade. In a five-hour flying distance, we can reach to 1.8 billion people. We have a strong base carrier, which is Air Astana, and its subsidiary, FlyArystan. So they also have a fleet development plan. In the coming four years, Air Astana group, I would say, Air Astana and FlyArystan, will increase its fleet size by 42%. So Air Astana and FlyArystan offers most of the available seats out of Almaty. That's why this is extremely important for us. In terms of the passenger growth, as again you may recall, back in 2019, which was the highest year for aviation, Almaty had 6.4 million passengers. At the end of 2024, we reached to 11.4 million, including the pandemic period. At 2025, we are targeting to be around 12.5 million passengers. We expect strong double-digit international growth, both on passenger and ATM side, by the aircraft side. We also have a good growth on cargo, because Almaty is the most preferred stopover location between China and Europe for refueling and for technical stops, and for the distribution of the cargo to the region. So our current case is expected to continue. We believe that air cargo will grow faster than the passenger growth globally. So, we also have new investment plan for Almaty. Last year, at 2024, we managed to achieve over EUR107 million of EBITDA in Almaty. During the last seven years, the average EBITDA growth was around 15%. The year we took over the airport, it was 2021, with almost EUR40 million. In three years' time, we tripled, almost tripled the EBITDA, and we are forecasting that EBITDA could go up to EUR120 million at 2025. We have new major players in the airline business. We have AirAsia, Indigo, Vietjet, Jazeera Airways, Qatar Airways, and Wizz Air coming into the Kazakhstan market, flying from our airport. We have also new major cargo airlines. Other than strong cargo carriers, we have Sichuan Airlines, Asian Cargo, DHL, My Freighter, and some others. And we'll have new routes coming out of Almaty, where we have city pairs like Batumi, Ankara, and Medina flying to our other airports. Since we took over the airport, we invested EUR257 million, not only for the terminal building, but also for cargo fuel operations, aprons and some enhancements of other facilities. In the last three years, we increased the passenger airline number from 24 to 37, cargo airline from 9 to 16, and the total traffic by 87%. So what we are targeting now, we have a plan, we have a master plan going on. We expect to have an investment of around EUR150 million to EUR300 million spread over the three to four years. Of course, we want to spread it more, even up to five years. Works are going on. We are working with a master plan designer. The main issue is related to airside infrastructure. We have already completed our investment for the terminal. So it's mainly the runway rehabilitation, taxiways, parking stands, new airside equipment, cargo apron, and so forth. So we expect that the master plan will be completed by early March, and we'll have some quotations from the contractors to assess the possible investment. And we hope to get an approval from our Board in April then we'll be disclosing to the market. We are also in advanced discussions with the authority on the charges, the adjustment of the charges. We are the lowest end in Central Asia in terms of passenger tariffs, airline tariffs. So we plan to have an adjustment in the tariffs versus such a major investment. Hopefully, this will be also completed within the coming two months. Talking a bit about Antalya, in Antalya, the investment will be over very soon. We are at 98% completion as of today. We have a targeted day of first day operation in the new terminals by 11th of April. So now the commercial fit-outs are being made. The main construction items are completed. We just do the architectural finishes of the terminal. So we have the strong demand. As said earlier, we had 7% growth last year. We expect a similar growth for this year as well. So we hope to catch the benefits on the commercial side of the season of 2025. So I hand over to Burcu back for the guidance and our results.
Burcu Geris: Okay. Thank you, Serkan. So as briefly mentioned, we were able to be within or above our guidance for all the aspects. On the revenues, we were substantially above with EUR1.66 billion. In total passengers, we were at 106.5, which is in line with the guidance. International passengers, 71 million, again, in line with the guidance. Net debt to EBITDA at the very low end of our guidance with 3.5 times. And EBITDA at the very high end of our guidance with EUR489.4 million. And on the CapEx, we are slightly below guidance, EUR255.6 million due to some lag to '25. And forward looking on the next page, on the last page, page 24, we have our '25 previous guidance, which we had given back in '22 for covering the period between '22 and '25 as a CAGR. CAGR is sometimes confusing, but it was supposed to be a long term and to cover the next four years. So this is why we gave it as a growth rather than for every year, a single amount. But since we are now very close to '25, we are in '25, we convert now these numbers. If we were to convert these numbers, we can see that our new guidance, our '25 guidance with the actual figures, is upgrading our guidance of both revenues and EBITDA. So on the revenue side, we give a new guidance, EUR175 billion to EUR185 billion. Our previous guidance was below this, with -- what was the number? EUR1.6 billion, I think, no, EUR1.7 billion. And our EBITDA was also current EUR525.90 million is extending the high side of the EBITDA guidance is above our high side of our previous guidance. So if you were to apply 14% to 20% CAGR between '22 to '25, you come up with less than EUR590 million. So we are, in fact, upgrading both our revenue guidance and our EBITDA guidance. We discontinued -- we have discontinued giving an EBITDA margin guidance. But obviously, you can get when you do the math between the lower end and the higher end of the EBITDA over revenue, you can come up with the 29.7% and 32% kind of margin range, which is higher than our '24 margin. So you can come up with these numbers, but we don't really like to give EBITDA margin guidance anymore. On the total passengers, we gave 110 million, 120 million and international passengers 75 million, 83 million. And on CapEx, we are aligned. We keep our guidance EUR140 million, EUR160 million plus, as Serkan gave some details, the Almaty investment plan for the year '25, covering the next five years. And in hopefully in April board, we will be able to give more details into the scope and breakdown of this CapEx, of this Almaty airside CapEx. And our net debt to EBITDA guidance, we keep the same, we keep intact as 2.5 to 3 times. I think this concludes our presentation and we can go over to Q&A.
A - Serkan Kaptan: Okay, so I'll start with Julius Nickelsen, Bank of America's question. Will the lagging solar and BTA Antalya CapEx be phased into 2025 CapEx? And if yes, is this included in the EUR140 million, EUR160 million guidance? Most -- answer is most of solar and BTA Antalya investments have been phased into 2025. And they are already included in the EUR140 million, EUR160 million non-Almaty CapEx guidance, as we disclosed.
Burcu Geris: Okay, next question, again from Julius, is does your EBITDA guidance include any uplift from a potential tariff increase in Almaty? The answer is no. The EBITDA guidance that we have for 2025 does not take into account any effects of potential tariff increases related to Almaty investment plan. Since it is still unknown, we didn't include this in the guidance. It will be an upside, in fact. Next question, could you maybe give more color on the split of the headwinds you expect in terms of interest expenses, amortization costs and so on that result in flat net income in 2025? Thank you. Very good question. In fact, when I was going over the guidance, I didn't read all the notes and I didn't detail all the notes, but this time we also gave some detailed notes on the guidance, not a formal official guidance on net income, but just to guide the reasons and what's happening, because as you know, we made a lot of investments. There are several main factors affecting next year's net income. The first is the completion of the investments in Almaty, Ankara and Antalya. So, Almaty completed in the middle of 2024, so there's a healthier effect in 2024. Due to completed investments, these assets start to book depreciation expense, and also previously capitalized interest costs are now expensed, and this also increases finance costs for next year. So, as you know, while doing these investments, we do not write interest expenses, and the interest expenses are fully capitalized, and we also do not incur full depreciation expenses. So, for the investment period, this last three years, all the financing costs were capitalized, and the depreciation on the fixed assets were not fully realized, or the airport operation rights were not fully realized. Now that they are completed, this increases the depreciation expense and finance costs. We have the same effect in Antalya, in new Antalya, FTA2, we call the company as we know, which affects the equity account investments. And this is why you would see also a temporary drop in the equity account investment, because now we would have the interest expense and the increased depreciation. Also, in Antalya 1, our existing Antalya, we have EUR132 million purchase price allocation. When we had purchased the assets back in 2018, we had a PPA. And now, obviously, since we have now only one year left, we have to amortize it to zero in the next two years. So when we put that impact also in the depreciation, we have this two year impact in 2025 and 2026 as well. So, these are all non-cash on depreciation, as you know, for Antalya 1, Antalya 2, Almaty. All of them are non-cash, but it's an accounting methodology. It's IFRS. It shouldn't be a surprise to anyone, really. We were making these investments, and we were not putting depreciation expense and not having interest expense. Everything was capitalized. Now that all investments are completed, will have been completed by the end of Q1, these start to be booked under expense. And as I said, this doesn't impact the cash flow generation of the company. We continue to expect very strong dividends from Antalya 1 and from all our assets. So, the free cash flow generation is still intact, but this is the IFRS implication, which is very standard and should be expected. The next question, you provide EUR100 million revenue guidance for Ankara in '25 expected. Could you provide more color on where you see the OpEx go for the airport? So, for the OpEx, we expect a 15% to 17% increase in Ankara OpEx from '24 to '25. This is in line with inflation and FX forecast. We usually have conservative forecast regarding FX. So -- and this is all before concession rate. So next year, Ankara will also start -- I mean this year, partially. Ankara will also start booking concession rate below EBITDA when Ankara new period starts as of May. So this will also impact the EBITDA. Margin-wise, I can tell you that for Ankara, in '24, the margin was 45%. In 2025, the margin is improving to 54% in our budget, just to show the margin. We could potentially -- oops, sorry, I could, yes, go to the next question. So, what are your underlying assumptions on wage inflation and overall inflation in Turkiye for the EBITDA margin guidance for '25? So, as I mentioned when explaining the guidance, we discontinued the EBITDA margin guidance because it depends on too many moving parts, some of which are macro, like exchange rates and inflation, which are beyond our control. Using the low end and the high end of the revenue and EBITDA guidance, as I again mentioned previously, gives us a range between 29.7 and 31.9. So, I think I made some decimal mistake when I said last time. So this is the correct one. Sorry about that. So the correct margin output would be 29.7% to 31.9%. So this again shows a margin that is higher than '24. And our inflation expectations are in line with the central bank. We think wage inflation would also be in line with overall inflation. And we're going to keep an eye out for the level of real TL appreciation, which affects our margin, obviously, to the downside. Okay. Thanks.
Serkan Kaptan: So HSBC question from Cenk Orcan. What are your thoughts on how trade wars might affect your traffic, especially cargo traffic at Almaty? Is there a slowdown risk? Almaty cargo traffic is based mostly on traffic between China and Europe. Tariffs involving the U.S. as one party should not have any negative effect on this traffic because, as I said, most of the traffic is between China and Europe. As e-commerce is advancing and one-click delivery-duty paid options are becoming more common across the global market, we see a mid-term growth in this market. This is a good driver for our Almaty cargo traffic. As you may know, we are just a two-and-a-half-hour driveway from the China border. So, there is a lot of cargo coming from China via truck and flights to Almaty and being distributed from Almaty. Globally, full year demand for 2024, if we measure them in cargo-ton kilometers, increased 11% compared to 2023. And for cargo tons in Almaty, we had a 16% growth, which is way above the global ones. Global was 11% and regional, the Asia-Pacific rate was 14%. So in Almaty, we managed to have 16%. The Airbus predicts 3.1% CAGR for the next 20 years of air cargo traffic. And they say that the express cargo will grow faster by 4.4%. The air cargo traffic growth is surpassing the global GDP. And we believe that because of the location of Almaty, its advantageous position between Asia and the rest of the world, the growth will continue and Almaty will be one of the strongest hubs in the region. Both in terms of passenger and cargo traffic.
Burcu Geris: Yes. When do you expect dividends to return? 2026. So I briefly touched upon this as well during the presentation. But let me just say, due to ongoing investment program and high borrowing costs, we're not able to distribute dividends this year, as you know. And the board will re-evaluate the situation at the end of '25 for the year '26.
Serkan Kaptan: Okay. Again, same question from Cenk Orcan. Georgia concession is next to expire. Is there any development with regards to a renewal tender and/or talks for an extension? As you know, we have been operating Georgia since end of 2005 and we would like to continue to serve the aviation sector in the country. We are always in contact with the Georgian authorities. You may have seen some news from the Georgian government talking about a new airport to be built in the coming five years. There are several alternatives that the Georgian government is evaluating and we would like to be in any of them. So, we are ready to serve to their needs, whatever they may decide. And we believe that we'll have more visibility on Georgia in the upcoming months. But this visibility, of course, depends mostly on the government's decision, whether to go for a new airport or to continue expanding the existing airport. So, the next question is from Erdem Kayli, BNP Paribas. Could you please evaluate recent geopolitical developments in terms of aviation demand in your operating region? Do you see any major change in aviation demand in your operating region if there is a ceasefire with Russia? So, we are still missing 31% of our Russian passengers and 100% Ukrainian passengers due to the conflict. In total, we are missing 4.2 million Russian and 2.7 million Ukrainian passengers. So, it's like 7 million in total. At the end of the conflict, by hoping that with the lifting of the sanctions and reopening of Ukrainian airspace to the civilian flights, that it will imply a return of these 7 million passengers, which would be great for us. In our current assumption, we didn't factor this in. So this will be a plus on our expected traffic in 2025. Also, the return of Russian charters to Antalya would be very beneficial, of course, for Antalya and for Havas. Russians are very good spenders in duty-free and it will affect Antalya's commercial revenues positively. We could potentially lose some cargo traffic in Almaty if the Russian airspace opens, but the impact on passengers and Havas would be much larger than this impact.
Burcu Geris: Yes. Now, a question from Ashish Khetan from Citibank. Can you please explain the thought process for a wide range of outlook for EBITDA? What are the risk factors? Assume that lower end of range and do we assume that upper end of EBITDA would be achievable only if passenger traffic reaches the upper end of the guidance of EUR120 million? So, the previous EBITDA guidance we had for '25, which was 14% to 20% CAGR between 2022 and 2025, implies a range of 477 to 557. So, this is already a EUR80 million range. In fact, we always keep a large enough range. We didn't change. In fact, we reduced it because '24 guidance was also a EUR60 million range between EUR430 million and EUR490 million, and 2025 guidance currently is a EUR70 million range between EUR520 million and EUR590 million. We don't give a very narrow range. We always give a bit of a higher range, but it's been like this forever, really. We didn't increase this range recently. The reason we give such a, you know, EUR70 million, EUR80 million range is because there are so many factors beyond our control, the traffic, U.S. euro rate, US TL rate, euro TL, TL inflation, jet fuel market, so many things. So, it's very difficult to give single or very narrow range, and these parameters could move all of them independently in all kinds of directions. So, it could be beyond our control. And there is a strong correlation, obviously, between EBITDA and passenger numbers, but that correlation is also broken partially by jet fuel and lounge and IT service businesses. Having said that, I want to repeat once again that the CAGR guidance implies a revenue of the upper end of EUR1.727 billion, whereas current guidance is EUR1.750 billion, EUR1.850 billion. So, we have upgraded the guidance. Similarly, in EBITDA, the current CAGR guidance guides us toward EUR557 million on the upper end, whereas we give now a guidance of upper end EUR590 million. So, this is also an upgrade of the previous 2025 guidance, and, you know, it's not so important that there's a wide range. This has always been the way. Hopefully, we under-promise and over-deliver, as we have always done. Having said that, again, yeah, I said this. So, the last question, Antalya EBITDA margin was 56% in financial 2024, and it showed a decrease. What is the reason for decline? So Antalya EBITDA margin was 58% in 2023 and 56% in 2024. You can see a 2 percentage point drop. It's not a huge drop, to tell the truth, because like all the assets in Turkey, Antalya is also affected by high Turkish Lira inflation and real appreciation of Turkish Lira. So, we saw this 2 percentage point EBITDA margin dilution.
Serkan Kaptan: Okay. I think we have two more questions. We have one question from Nicola Perina from Mediobanca. Can you elaborate on the new business opportunities in Egypt and Montenegro? For Montenegro, it's an ongoing tender. We are three qualified bidders going ahead for Montenegro. The current bid date is 4th of April. So, as many may recall, the process has started 2019. Then there was a hold in the process because of COVID and other reasons. And we now, the process restarted with the supervision of IFC. The expected bidding date is 4th of April. The scope is two airports, Podgorica and Tivat airports. The two airports had 2.9 million passengers in 2024. We believe that we have a fair chance and because of our presence in the Balkans, Eastern Europe, through Zagreb, Skopje and Ohrid airports, we believe that we have a fair chance and we could have operational leverage. For Egypt, it's a process which is expected to start. The Egyptian government has the intention to concession most of their airports through private operators in a PPP scheme. We hear that the first phase will be Hurghada airport as a touristic destination and some others to follow. We have shown our interest for Egyptian airports, but nothing is concrete yet. Nothing has been released in terms of qualification process. But we understand from the Egyptian government that IFC has been mandated for Hurghada airport project. So I think this is the end of the question.
Burcu Geris: Thank you very much for your interest and have a nice day.